Operator: Hello, and welcome to the RELX Trading Update Call. [Operator Instructions] I would now like to hand the call over to Chief Financial Officer, Nick Luff. Please go ahead.
Nicholas Luff: Thank you, operator. Good morning, everyone. As you have seen from our press release this morning, RELX delivered underlying revenue growth of 9% in the first 9 months of 2022, up from 6% in the same period last year. As we enter the final quarter, momentum remains strong across the group, and we continue to expect full year underlying growth rates in revenue and in adjusted operating profit as well as constant currency growth in adjusted earnings per share to remain above historical level trends. Turning to the performance of each business area. In Risk, underlying revenue growth was 7%, in line with the first half and on top of the particularly strong growth of 10% that we reported in the first 9 months of last year. In Business Services which represents around 45% of revenue, growth has remained strong, and in Insurance representing nearly 40% of revenue. The improvement in momentum that we reported at the results in July has continued with growth rates currently running in line with historical trends. For the full year, we expect strong revenue growth in line with historical trends with underlying adjusted operating profit growth broadly matching underlying revenue growth. In STM, underlying revenue growth was 4%, in line with the first half. Primary Research continue to grow well with the number of articles submitted and published remaining ahead of last year's elevated levels. Databases & Tools and Electronic Reference, which represents only 40% of divisional revenue has continued to grow strongly. For the full year, we expect underlying revenue growth to remain above historical trends with underlying adjusted operating profit growth slightly exceeding underlying revenue growth. In Legal, underlying revenue growth was 5%, up from 4% in the first half. The improvement in growth was driven by the further development and uptake of legal analytics, with renewals remaining strong and new sales continuing to show positive momentum. For the full year, we expect underlying revenue growth to remain well ahead of historical trends with underlying adjusted operating profit growth continuing to exceed underlying revenue growth. In Exhibitions, underlying revenue growth was 85%. Revenue growth has been driven by a significant increase in face-to-face activity as venues have reopened across most geographies with digital tools supporting our physical events. For the full year, we expect strong underlying revenue growth while the operating results will continue to benefit from the structurally lower cost base. And with that, operator, we are ready for questions.
Operator: [Operator Instructions] And the first question, it comes from the line of Sami Kassab from BNP Paribas.
Sami Kassab: I have 3 usual questions. First one, can you provide us with a geographic breakdown of RELX's headcount, possibly by regions, North America, Europe, U.K., Asia, Rest of World? That would be fantastic. Secondly, does your guidance in Risk implies some sort of acceleration in Q4? And why would that be the case? Why would Q4 be stronger? And lastly, can you please provide us an update on RELX Chinese shows for the rest of the year? Do you expect November and December shows to go ahead?
Nicholas Luff: Okay. So the geographic headcount. There is some analysis in the annual report actually. I'm not sure I can remember the exact numbers, and we have about 40% of the headcount is in the U.S. I guess about -- just under 20% in the U.K. And then the rest split between Continental Europe and Asia. But there is an analysis in the annual report that's 6% I think. Your question about Risk in the fourth quarter, as we said in the statement, Business Services continues to remain strong. We are seeing improving trends in Insurance with growth rates there now back in line with historical trends. Clearly, it's a transactional business to a fair degree in Risk. So we've done -- see exactly what's going to happen in the last couple of months of the year. But obviously, we do know that the comparative from last year does get a little easier in that we've had those very strong revenues in the first 9 months or half really of last year, which obviously have less of an impact as you get through to the full year. So that's the dynamics as we enter into the fourth quarter. And your question on Exhibitions in China. We have been running events in China. We ran a couple in Shanghai in September. But clearly, there remains uncertainty. And so looking forward, I think it's hard to know. But elsewhere in the world, everywhere is up and running and operating at a reasonably predictable manner. And China is not a huge part of our overall portfolio.
Operator: The next question comes from the line of Nick Dempsey from Barclays.
Nick Dempsey: I've got 3 questions. So the first one, we did get a few questions on how the transactional component of Business Services, specifically inside Risk will be impacted by a U.S. downturn. I don't know if you can help us out by talking through the kind of transactions you're exposed to and where those will be impacted by weaker macro. Second question, wonder if you give us a quick update on the debt you have coming up for refi in the next couple of years and whether we should expect a notable impact on the interest from the right environment moving up? And third one, just on Legal, you reported to momentum in analytics and good new sales in the release. Is inflation also helping your ability to drive higher increases in renewals because it seems like quite a remarkable step up now if it's just coming from actions that you're doing on the product base?
Nicholas Luff: Yes. Okay. So the first question on transactional revenue in Risk. Obviously, Insurance is very transactional. It's a 90% transactional revenue. Business Services more, sort of 60-40 with fair amount subscription. On Insurance in the -- based on the experience of the last downturn, the volumes actually went up rather than down in the recessionary environment. And of course, as we said in the statement, we have seen a pickup in activity levels in Insurance quite recently. So that's sort of different dynamics than you might expect. On Business Services, then I think if there's -- there are some parts of the revenue base that there was a deep recession might be impacted. But certainly, more muted and delayed compared to many others. We're not exposed to any significant degree to the mortgage market, for example. We no longer do employment screening. There's no advertising revenue left in the Risk business, which they used to be many years ago. So very different business profile to what we had at the time of the last significant downturn. So obviously, we're not seeing anything in the revenues at the moment that would suggest there's any impact from a change in economic environment. And you can see there's good momentum in the business right now. On the debt refinancing, we have a couple of maturities in the next couple of years. We've got about $800 million of debt maturing next year, although some of that's at quite high rates, over 4%, some are over 6%. So not particularly different to current rates. And then there's $1 billion also in 2024, which is at lower rates, but we'll see where rates have got to by then. So I would say that the more significant impact in terms of the -- or rapid impact is from the floating rates. We do have 40%, 45% of our debt at floating interest rates. And clearly, we have seen quite a rapid increase in floating rates through this year. Right now, our debt is -- the average cost of our debt is running at about 3.4%, having been 2.3% in the first half. So it looks like it's going to average 2.8%, 2.9% for the full year with that run rate of 3.4% as we go into next year subject to what floating rates do from here. And your last question on Legal and inflation. No, I think we would sort of say there's anything in these growth rates for inflation, pretty much that the revenue that we're recording at the moment is under agreements that were signed some time ago before inflation became that significant. It is coming from the rollout and the adoption of analytic tools, and we are seeing good traction, good take up as we introduce those new products and roll them out across the customer base.
Operator: The next question comes from the line of Adam Berlin from UBS.
Adam Berlin: Adam Berlin from UBS. I've got 3 questions, if it's okay. And the first one is on STM. I think you made the comment in the note that article submissions and articles published are above last year's high levels. But are you still growing at the same rate or do we take that to mean the growth rate slowed a little bit as the year has gone on versus the very high growth rates we saw last year? That's the first question. And second question on Exhibitions. For the 3 kind of big regions you're in, Europe, North America and Japan, can you give us your view on where we are versus 2019 in terms of revenue in September 2019 for those 3 regions? And [indiscernible] recent quarter or for the 9 months, which are easier. And third, just following up on your point about finance costs in 2023, which is very helpfully gave at this run rate of 3.4% as an average cost. Can you tell us what floating rates you are exposed to? Is it LIBOR? Is it the U.S. federal funds rate on the 40% to 45%. Can you kind of put that 40% to 45% floating by which where you have the exposure? That would be very helpful.
Nicholas Luff: Okay. So the first question on articles in STM. I think it was actually 2020 that saw the very sharp spike in pickup in submission rates sort of the COVID impact when people were -- interpretations people couldn't get into their laboratories and therefore, wrote up their research and then submitted it. And then for the last year and this year, the volumes have remained at those elevated levels. So you almost had 3 years growth in 1 in 2020, and then it sort of stayed up at those levels, which just shows the underlying strength and the importance and continued pace at which scientific research is being published. Your second question on Exhibitions. And regionally, I think it does -- it tells quite a lot from event to event. We're actually getting very positive reaction from both exhibitors and attendees as we're able to run event. Participation rates have improved steadily through the year. Globally, we're on a sort of like-for-like basis, we're at about 75% to 80% of pre-COVID levels year-to-date, and that is steadily improving. Some events now are above the 2019 levels. Overall, it doesn't vary -- that 75% to 80% doesn't vary hugely between regions. It does between events. But if you average that across all the events, it's not broadly close to that sort of level. And your last question was on interest rate exposures. Our debt is split roughly 50-50 between dollars and euros. So we don't have any sterling debt. And the floating rate is -- that is more in dollars. So the most important thing is the Fed funds rate. So if you're looking at forward rates and whatever the market in place, then you should look at the Fed funds rate.
Adam Berlin: If I could ask one follow-up on Exhibitions. When you talked about 75% to 80% participation versus 2019, is that a good proxy for revenue? Or does revenue kind of gets less -- participation a little bit?
Nicholas Luff: Yes. It's roughly that whether you're looking at attendees, exhibitors, revenue, they roughly level in that sort of range.
Operator: Next question comes from the line of Omar Sheikh from Morgan Stanley.
Omar Sheikh: I just had a couple of questions actually. Just maybe starting on Insurance, Nick, if I could. You mentioned -- we talked about Insurance improving from the H1 stage. Could you maybe just talk a little bit about what's driving the improvement in transactional revenues with the Insurance? And how sustainable do you think that is into Q4 and into next year? Just want to get a better understanding of what's happening there. And then secondly, just on Exhibitions again. When do you think -- if you look at the business ex-China, when do you think you're going to get back to 100%, given what you can see today, how are you thinking about the next sort of 12 to 18 months? That would be helpful to get some context.
Nicholas Luff: Yes. So the first question on Insurance, there's lots of factors that go into driving transactional volumes, driving patterns and how they affect claims, which I think as we said, we've sort of been improving since the early part of this year, car transactions have an impact, both new and used car sales, which often prompt activity in the Insurance market. And there with those -- there was a drop down in the middle of last year, and we're now lapping significantly lower numbers. So the impact of that drop off in car transactions has sort of come out of the numbers now, which is helping carrier activity, insurance carrier activity and what they're doing with their pricing, what they -- their marketing. And obviously, it's been driving patterns and claims dropping significantly in COVID and then coming back as people started driving again, has made it quite a choppy environment for insurance carriers, but that's settled down and they're getting back to more normal levels of marketing activity and how they're moving their pricing. So all those things feed into it. And it tends to move in relatively long cycles, the Insurance market perhaps compared to Business Services, it moves a bit more slowly in terms of the cycles. And yes, I think the improving momentum we've seen right away through this year and an activity in sort of shopping and switching in the last few weeks in the second -- as we come into the second half, has been very positive. Your second question on Exhibitions. Our focus is all on running events when we can, we're staying flexible and with the calendar and pleased to see the level of activity we've managed to achieve, but our focus is very much on how do we keep improving the events as we run them, how do we seize the digital opportunity that is increasing. And so it's exactly what that means relative to history, I think we don't focus on so much.
Operator: The next question comes from the line of Silvia Cuneo from Deutsche Bank.
Silvia Cuneo: I would also like to ask 3 questions. The first one is a follow-up on Legal. You reported further improvement in underlying revenue growth, driven by Legal analytics. Can you please remind us on the typical renewal patterns in a year and also about the new sales positive momentum? Can you please comment about how much visibility that these gave into 2023? And second, a bit of a higher level question. When thinking about subscription-driven revenues, can you please remind us of the typical contract loans? And if there are any automatic price renewals linked to inflation? And then finally, within STM, Primary Research continue to grow on with the number of articles submitted and published still ahead of last year. Can you please comment also on the specific plans for open access articles and they share within the mix?
Nicholas Luff: Yes. First question on renewal patterns and Legal. There isn't really a -- perhaps unlike STM, there isn't really a renewal season. It does vary a bit through the year. But it varies depending on when the customer first signed up. So there's renewals going on all the time. So when we're commenting on renewals being positive, then that's sort of current comment and new sales and uplift to existing customers and taking on new modules is what's driving the growth. It's largely a subscription business so that does give you quite good forward visibility. Your question on subscription revenue and inflation linkage, I can't say never, but it's very -- I don't think any of our contracts at any scale have direct links to inflation built into them. They will often have escalators, but that's typically volumes are rising, whether you're talking about a number of scientific articles, a number of legal cases, number of downloads, whatever metric you care to use. So that typically would be assumed volume increases, and therefore, is built in some increase in overall revenue coming from the contract. But rarely, if ever, would it be directly linked to RPI or anything or any other inflation index. And your last question was on open access. Yes, open access does continue to grow strongly. I think at the half year, we said open access volumes were 40% in that sort of range, and they remained at that sort of level. And obviously, we've been launching -- continue to launch journals, dedicated to pays open access channels where strategically wanting to make sure we've got good coverage of all the branches of science, all the disciplines and all the quality tiers, such that there's always somewhere we've announced of a journal that -- if you've got good science that can be published, we'd like to publish it in the journal. So that's what we're doing, and that's what's helping drive that very strong growth in open access volumes.
Operator: Our next question comes from the line of Matthew Walker from Credit Suisse.
Matthew Walker: I've got 3 questions, please. The first is on the recent announcement by the RSTP and the states about federally funded RS codes open access from 2026. Can you give us your reflection on what that might mean for revenue? And if you think it means that by that point, a significant portion of the world's RS codes will be free. So is there any risk that people asking for discounts on remaining subscription journals or any thoughts you could give us on that transition? And then just in the quarter or in the 9 months last year, I think in the first part, you commented that print decline was running at roughly half of the normal level. You didn't make any comment in the statement this time. Could you give us an update on where print is running in STM? And then the last question is on events. So for Exhibitions, what are we bookings looking like for 2023? And what sort of margins do you think you could achieve in 2023 for Exhibitions?
Nicholas Luff: Okay. So let's get to -- so the first question on the RSTP announcement for those that are familiar, this was the guidance being issued to U.S. special agencies that fund scientific research and giving some guidance on how that should -- the publication of that scientific research articles based on that is how it should be done. It only comes into effect in 2026 or for research, it starts in 2026. So the delay after that before you get to the publication. On the RSTP numbers they cover something between 7% and 9% of the world's scientific articles. But of course, a significant proportion and an increasing proportion of those are already published on an open-access basis and that will continue to go up. So I don't think we see it as a significant change in the overall direction and trend. Clearly, it's a shift in payment model between author pays and subscription or from subscription to author pays, but that's something that's been going on for some time and is obviously reflected in the financial performance of the business today. Your second question on print plan STM. Yes, it's good question. We actually did not see the normal level of print decline in the first 9 months. We called it out at the half year, and that remains the position today. So we are -- clearly, the growth rate you're seeing does have a small benefit in it from not having that no-print decline against that. I would remind you that we had some tough comparatives in the quite strong growth in the first 9 months of last year and by the full year, the fourth quarter, the growth is slightly lower last year, so the comparator gets a little easier. So we'll see what happens in the final 3 months. And your last question on Exhibitions and rebookings. We are seeing strong appetite to get back to people get to face-to-face events. And the people want to see the value in coming to Exhibitions and want to be there when they're confident, we can run them, it obviously does vary from geography to geography and person sector to sector. But overall, the picture is positive. I'm not going to start speculating on next year's margin. We're focused on seizing this opportunity from the reopening and building on it with the digital tools that we're offering.
Operator: The next question comes from the line of Matti Littunen from Bernstein.
Matti Littunen: First question on Legal. So you mentioned the new products boost there. Would it be possible to identify the specific contribution from Lexis+ into the underlying growth this year? Then in Risk, I just wanted to check whether the growth for the acquisitions, the Lexis+ -- ThreatMetrix and Emailage, is that still tracking in line with H1? And then finally, on Exhibitions, other than the China question, which you already covered, are there any sort of sources of -- sort of uncertainty into Q4, maybe the pacing of events, which mean that we shouldn't kind of project the underlying growth for the 9 months so far into the full year?
Nicholas Luff: Yes. Okay. So the first question about Legal and Lexis+ in particular. The key driver of the growth and the improved growth in Legal is the development and rollout of analytics tools. Lexis+ is an important component of all that. But it's a platform and packaging and a way of presenting and making the analytic tools accessible. And it's a brand name, it's a marketing position. We are getting good adoption of Lexis+ virtually all new customers takes Lexis+ and most renewing customers switch to it. But they're doing it because that's what gives them the ease of access to the analytic tools and it's the analytic tools underlying it that as a key driver of growth. Your second question on Risk and ThreatMetrix and Emailage, yes, the Fraud and Identity segment continues to show strong demand and the electronic identity tools such as ThreatMetrix and Emailage are doing -- continue to do well within that. Between them, they currently go to -- currently running close to 20%. So obviously, they've got bigger. The dollar growth has remained good. Obviously, as a percentage of the base is not quite as high as it was when they were smaller, but still growing very well. And your final question on Exhibitions in 9 months to full year. I think, the only comment I would -- I'd make is just remember, of course, that in the first half of last year, there was very little face-to-face activity. And by the second half, we were somewhat busier. So the dollar base gets bigger as you go through the remainder of the year, which obviously will impact percentage growth rates. But I've given you an indication of the -- how individual events are doing on a like-for-like basis compared with the pre-COVID level. Remember that we did keep -- we kept in our portfolio ongoing events that represent about 90% of the revenue base. So we dropped some of the more marginal events. And then I've given you an indication of how they're doing on a like-for-like basis. So that's probably your best starting point.
Operator: The next question comes from the line of Tom Singlehurst from Citi.
Thomas Singlehurst: Tom here from Citi. So 2 questions, if that's okay, both on Exhibitions, I'm afraid. I completely understand the point you're making about each show being individual. And I don't say that 2019 really is aging history, and we shouldn't focus on it so much. But I guess equally, there's no reason why 2019 should be a ceiling rather relative to being a floor. So the question is this, for the next 12 months, can you just confirm how many Exhibitions you're going to be running or at least the percentage change in the number of Exhibitions you're going to be running relative to 2019 levels such that if we assume that attendance is approaching historic levels, what sort of -- what level of structural shortfall in revenue should we expect given there are just fewer shows happening relative to where we were in 2019? So that was the first question. And then the second question, and I completely understand your reluctance to comment on margin for 2023, that makes a lot of sense given we don't know where the revenue is going to be. But you had previously sort of talked about a sort of fixed level of cost or at least the fact that you've taken out some costs. I just wanted to double check that there was no reason why those costs wouldn't come back in if indeed growth continues to be strong and may even surprise on the upside?
Nicholas Luff: Yes, okay. Yes, I think comparison in 2019. As I've said, we did rationalize the portfolio of events. We kept events, if you work it by revenue that represent 90% of the 2019 base. So that was a starting point and I take your view as to exactly how they'll do relative to the -- on a like-for-like basis with that starting at that 90% history. On the second question on margin, we did take out any significant part of the overhead base. That was a permanent structural change. Clearly, the cost base will change to some degree over time and depending exactly which events we're running where. But we do expect to retain the benefit of that structural reduction in the cost structure. And on a like-for-like basis, that would ultimately give you a better margin business.
Operator: Your next question comes from the line of Lisa Yang from Goldman Sachs.
Lisa Yang: I only have 2 questions. So firstly, on Legal. So assuming that sort of 5%, or maybe 5% to 6% could potentially be the new normal. What do you think happens to like operating leverage and margin because, obviously, this segment is still the lowest-margin segment of the group. So is it fair to assume we should start to see meaningful improvement margins going forward, converging with some of the other businesses? So that's the first question. And secondly, on Exhibitions. Obviously, it feels like in the consensus of about 80% organic growth next year. So I think should normally imply that we are going back to 100% of 2019 level adjusted for the shows you have pruned. How do you think about the legality or how the macro would impact events? Obviously, in 2009, you were down 15%. I think your revenue mix might have changed a little bit, but just curious to see, for instance, how that could affect 2023 and actually even 2024, if attendees were to go down a bit next year and how that impacts? I don't know how the contributors might think about rebooking for 2024.
Nicholas Luff: Okay. First question on Legal and margins. Look, our primary focus is on continuing on this part of improving organic growth in Legal. That does mean putting the resource behind the growth opportunities through product -- new product development, development of new analytic tools and rolling those out across the customer base. Our approach in Legal is the same as it is across the group, which is always to ensure that cost growth is on an underlying basis, cost growth is below revenue growth. And that certainly applies in Legal. All other things being equal, if you achieve that, of course, subject to variation year-to-year to currency and M&A and things, but all things being equal, that will drive incremental margin improvement. And that remains the objective, but I wouldn't say that changes -- that dynamic changes because the growth rate has gone up. On Exhibitions and the macro, I think it's going to be very hard for us to identify any economic -- overall economic impact. Clearly, it would -- it varies significantly from sector to sector and geography to geography. But the key drivers at the moment or ability to run events, international travel and how events are doing when they get back to the right place in the calendar and things like that. So those are more significant drivers of the result. So it's hard for us to separate out whatever economic impact there might be.
Operator: The next question comes from the line of Sarah Simon from Berenberg.
Sarah Simon: Sorry, I've got a few more. First one, still on Exhibitions. Obviously, it's kind of as far as you've talked about the level of revenue recovery and so on. Can you talk about whether there's any difference in terms of the rate of recovery of the exhibitor-specific revenues as opposed to the ancillaries? Because obviously, those have tended to be a bit more kind of cyclical. I'm wondering if those are recovered as quickly as the revenues that people you're getting from renting space to exhibitors. The second one is just on Legal. What proportion of revenue is coming from analytics and tools? And then the third one was just on STM, and I know you never comment on specific deals. But can you just confirm that your arrangement or lack of arrangement with Germany is still the case in terms of project deal? You haven't reached an agreement with them.
Nicholas Luff: Yes. I mean on Exhibitions, the adding value -- additional value through -- particularly through digital and data to -- for exhibitors, so they can get maximum value out of attending an event is clearly a key part of our overall strategy. That is reflected to some degree in the underlying revenue that we get for the rental of the space. Some of it we charge for separately, but I don't think I'm able to separate out the different revenue streams.
Sarah Simon: I'm thinking more actually about things like marketing and sponsorship. Whether that's recovered as quickly as attendance.
Nicholas Luff: Yes. I mean the key is holding the event. And if the events are on, then the mix of revenue is very similar to what we've seen historically. Other than we're driving it towards more digital tools and more support from a strategic point of view. And sorry, your second question on Legal was...
Sarah Simon: Well, I was just wondering what proportion of revenue is coming from analytics now given that this is the key driver?
Nicholas Luff: Yes. It's obviously, it's a little tricky to measure that because some of the digital tools are built into the core platform and available for everyone to use. But I think we would say 25% plus of the revenue is coming from products that have a significant analytic features to them, something like that. And on your third question, you're quite right. We don't comment on individual countries or individual negotiations or contracts.
Operator: There are no further questions in the queue. So I will hand the call back to your host for some closing remarks.
Nicholas Luff: Okay. Well, thank you, operator, and thank you, everyone, for joining us this morning. And if you have further questions, I'm sure you'll come back to us. Thank you very much.
Operator: Thank you for joining today's call. You may now disconnect your lines.